Operator: Good afternoon, ladies and gentlemen, and welcome to the Wacker Chemie AG Conference Call Regarding the Q3 Results 2015. At this time, all participants have been placed in a listen-only mode. The floor will be open for questions following the presentation. Let me now turn the floor over to your host, Mr. Joerg Hoffmann.
Joerg Hoffmann: Thank you, operator. Welcome to the Q3 2015 conference call on Wacker Chemie. My name is Joerg Hoffmann, Head of Investor Relations. As our CEO is traveling today, we have with us Dr. Joachim Rauhut, as CFO on his last Wacker Chemie conference call, and his successor, Dr. Tobias Ohler. Please note that during this call, we may make statements which contain predictions, estimates, or other information which are forward-looking statements. These statements are based on current expectations and certain assumptions and are therefore subject to risks and uncertainties. Some of these risks and uncertainties are beyond WACKER’s control and could cause the actual results to differ materially from results, performances or achievements that may be expressed or implied in such forward looking statements. WACKER may not update those risk factors or the forward-looking statements mentioned on this call nor does it assume any obligation to do so. We published today our quarterly reported press release on our numbers and an Excel file detailing our data. The written version of today’s Wacker Chemie’s speech will be posted on the website about half an hour after this call. You will find all of this on our website, www.wacker.com, under the caption, investor relations. Dr. Rauhut?
Dr. Joachim Rauhut: Ladies and gentlemen, welcome to our third quarter 2015 conference call. Today, we report on a good third quarter. With sales at €1.36 billion, we achieved an increase of 10% over last year. EBITDA in the quarter reached €264 million, resulting in an EBITDA margin of 19.5%, supported by €17.8 million in special effects. Excluding these effects, we reached an EBITDA margin of 18.2%. Our Chemical business showed a very strong performance in the quarter under review. Together, these three segments accounted for more than half of the EBITDA generated in the Group. Sales in Chemicals were up 11% over year over a year while EBITDA increased over the same time by almost 25%. While we benefitted from currency and to a degree from raw materials, a major driver for sales was new products and market development. Here, key to our success are our academies, technical centers, and responsive product development. Our Polysilicon business saw an excellent operational performance in the third quarter. Cost reductions and volume increases in a difficult market environment helped results. The segment achieved essentially the targeted €25 million per month in EBITDA excluding special effects despite ramp rent costs and weaker pricing. End-demand for solar models is strong, especially from the U.S., China and India. While module makers report high utilization, some PV wafer producers have announced price increases as their product has become tighter. In polysilicon there is still inventory which weighs on the market until it gets absorbed by growing demand. In line with industry observers, we expect further growth in solar in 2016, as you can see on our page 12 of our call note. We are finishing the polysilicon plant at our new site in Tennessee. At an overall cost of about $2.5 billion, the site will provide WACKER with a new infrastructure for growth in the U.S. over the next few decades. Today the infrastructure is up, running, and we are ready to focus now on chlorosilane synthesis and distillation. We plan to begin the deposition of polysilicon towards the end of the year and look forward in qualifying material with customers in Q1. Tennessee operations will initially weigh on Polysilicon results as we increase production month by month but already have the full fixed cost base in place. Ideally, the new plant reaches its full production capability in Q3 next year. But let me make one thing clear, our focus here is on quality, not on speed. We will further update you as our visibility on next year improves. As pre-operational and ramp costs in Tennessee reduce our profit before tax, we suffer from high tax rates that depress our dividend base. We are now working on a tax structure that should result in lower tax rates at Group level, once we produce and ship material from Poly11. Many of you have asked on how overall Group depreciation will develop as we begin operations at the new site. We expect for fiscal year 2015, depreciation at Group level now at €600 million. For the full year 2016, we are looking at a depreciation level of about €700 million. Group depreciation should peak in the year 2016 and then decline, given the depreciation structure for our German polysilicon assets. Siltronic showed a strong performance in the third quarter despite softer market conditions and lower industry utilization. The management team at Siltronic continues to pursue cost reductions ambitiously. Siltronic is well-positioned in its industry and is a capable competitor to the leading companies in the sector. We look to further reduce our ownership in Siltronic, but no decisions have been taken. Our overall guidance for the full year is unchanged following the strong performance of our Chemicals businesses. We expect to see sales about 10% higher than last year, over €5 billion for the first time. EBITDA excluding special effects should come in slightly higher than last year, despite higher ramp costs and a more difficult market environment. As I hand over to Tobias, my successor, please allow me a personal statement. Through the last 10 years, it has been a pleasure interacting with you. I would like to thank you for your trust in Wacker Chemie and in me, and I hope that you will provide the same amount of trust to Tobias. Tobias, please continue.
Dr. Tobias Ohler: Thank you Joachim. Ladies and Gentlemen, let me quickly introduce myself. I joined Wacker Chemie in 2004. After previous leadership roles in controlling, procurement at Siltronic, I’m on the executive board of WACKER since 2013. I’m looking forward to meeting many of you in person over the next couple of months. Back to our Q3 results, I will now discuss the quarterly performance of our segments and provide some more detail on guidance. Supported by currency and good demand for our products, Chemicals Q3 sales of €856 million came in at 11% over last year, and essentially at the level of Q2. EBITDA, at €154 million for the three Chemicals segments was 25% better than last year and 7% over Q2. Margins also improved by about 130 basis points quarter over quarter to 17.7%. A weaker euro, price stability, positive development in some raw materials and volume gains were the main drivers for this performance. Silicones saw again, quarterly sales over €500 million staying at historically high levels. At €502 million, sales were 12% over last year and at the level of Q2 despite a short summer lull in August. Currency effects and good growth in shipment year over year supported this result. Margins improved slightly in Q3 on currency and strong demand for our silicones in personal care and electronics. EBITDA in Q3 reached €82 million, resulting in a margin of 16.3% despite rising costs for silicon metal. Growth and specialty products, continues to be stronger than standard. Margins effects from the underlying mix transition, however, are small as we also successfully lower costs by debottlenecking our precursor product operations. Our siloxane and silica capacities operated at capacity limits during the quarter. Q4 in silicones is going to be seasonably weaker. Our guidance for the full year remains unchanged. We expect sales growth of about 10% with substantially better EBITDA than last year. At €330 million, Polymers reported Q3 sales 9% over last year and at the level of Q2. Positive currency effects and increased shipment supported the result. The highlight in polymers is a strong demand for re-dispersible for powders with both good growth in mature market and excellent growth in some emerging markets like India and Southeast Asia. We strongly support the sustained transformation around the globe towards polymer modified construction applications. The segment achieved a record EBITDA of €65 million in the quarter, 34% higher than last year, and 14% better than last quarter. Positive effects from currency and volume improvements benefited the result. In addition, raw materials provided some relief in polymers as costs declined back to historical levels from a peak after a significant cost escalation last year. Demand of our products remains strong, so we are increasing capacities accordingly. The new VAE co-polymer plant in Calvert City in U.S. has begun operations, giving relief to our tight capacity situation, which has held us back year-to-date in the U.S. For polymers Q4, we see the typical seasonal effects on sales. Following the strong performance of polymers year-to-date, we now expect an about 10% increase in sales for the full year 2015 with margins in the high teens. Biosolutions reports sales of €50 million in the quarter, 12% better than last year and below Q2. Volume and currency benefits supported this increase. At €7 million, EBITDA improved against last year, but fell short of last quarter. For the full year, we expect sales of nearly €200 million in the segment with an EBITDA of about €30 million. Shipments in polysilicon picked up after a slower second quarter, and we are strongly up against last year. While inventories still impact the overall value chain, our product remains in good demand, with overall pricing mildly softer than in Q2. During the quarter, WACKER polysilicon continued to operate and sell at capacity. Sales in the quarter came in at €271 million. EBITDA was €92 million including retained prepayments and damages of €18 million. Excluding special effects, EBITDA stayed at about the same level quarter over quarter, with about €25 million per month. While pre-operational costs for the new site have increasingly burdened our performance, we made further progress in cost reductions and productivity improvements. For the full year, our Polysilicon volume outlook remains solid. Due to ramp costs and lower pricing, however, EBITDA excluding special effects should stay clearly below prior year level. We continue to expect about €100 million of ramp cash costs for the full year. The fourth quarter will bear the peak of these costs, as we begin chlorosilane generation, start the distillation system and later move on to deposition. Siltronic reported its Q3 results today. The segment reported sales of €231 million supported by year on year volume and currency effects. Quarterly EBITDA came in at €29 million. Excluding hedging effects of €15 million, this translates into a margin of about 19% despite the expected lower plant loading. This is a result of the ongoing successful cost reductions in the segment. Given a softer fourth quarter, Siltronic expects a full year 2015 EBITDA at the prior year level. For more detail, I suggest to refer to the Siltronic documents and conference call. Q3 sales in Others amounted to €47 million, with an EBITDA loss of €9 million, mainly from negative hedging results for the Chemicals businesses. Net cash flow in Q3, which excludes changes to prepayment levels, amounted to €36 million. This reflects quarterly CapEx of €221 million. Net financial debt at the end of the quarter was €970 million, up slightly from €939 million at the last quarter end due to prepayment effects. 2015 CapEx should reach now about €800 million, and as Joachim said, we expect full year depreciation at €600 million. Given the CapEx in Q4, we continue to see a slightly positive full year net cash flow and year-end net financial debt at the level of prior year. The reported tax rate of 43% reflects a combination of non-tax-deductible pre-operational costs at the new site in Tennessee, losses in the overseas subsidiaries and income from special effects taxable in Germany. For the full year, we expect to show a 50% tax rate. Following a minor increase in interest rates, our pension benefit obligation was unchanged versus the end of Q2 at €1.6 billion. In Q3, we discounted our German obligation at 2.8%, which compares to 2.7% in Q2. Net income for the quarter was €58 million lower than Q2, following lower retained prepayments and damages received during the quarter. Earnings per share amounted to €1.21, about half the level of last year, which also benefitted from very high special effects. As Joachim has said, our guidance for the full year remains unchanged. We expect to report a sales increase of some 10% to over €5 billion in 2015. EBITDA excluding special effects should come in slightly over last year. Including special effects, we believe that we can reach €1 billion in reported EBITDA for 2015.
Joerg Hoffmann: Operator, we’re ready for questions now.
Operator: [Operator Instructions]
Joerg Hoffmann: Operator, the first question is from Alexander Karnick at Deutsche Bank.
Alexander Karnick: Thanks for taking my questions. Two topics I would like to touch upon. Is there any way that you could give us some idea of sort of the amount of ramp-up costs in this quarter and how this is going to develop in Q4? You already mentioned it would peak. Secondly, how does that or next to the €100 million this year, what do you see for 2016, given that you’re expecting full production not before Q3? And then the second topic will be on Siltronic. Your guidance slept EBITDA implies a very, very low Q4, anything that I’m missing here, or is that -- that’s a caution? And secondly, could you provide us with an updated outlook with respect to a 300 millimeter volume growth for 2016?
Dr. Tobias Ohler: This is Tobias speaking. I cannot -- with respect to the ramp cost I mean, we still see the €100 million total cash cost for the full year. And as we have said, about two-thirds would be in the second half of the year, so one-third first half, two-thirds second half. And we see both costs also increasing from Q3 into Q4. And I think you can do the math on that to get a figure. I think for 2016, it’s too early to say. But your question is absolutely right I will definitely dig deep into that topic. You’re right in the sense that I mean, we will not have the full capacity starting beginning of the year. We will move from a project phase into a ramp phase. So, we have personnel on site; we have also some energy that is required for ramping up all the systems, and we will need to look what does it mean in terms of total cost. But I would expect it would be lower than what we see in the second half of 2015. But it’s too early to say what the exact number is.
Dr. Joachim Rauhut: Your question concerning Siltronic is right. That Siltronic and I think I said in the call that they expect the demand or the sales to be significantly lower in the first quarter. They talked in the report about 10%. And in addition in this quarter, the fourth quarter, the mix will develop, not very favorable. It’s due to inventory correction. And as I know what the Dr. von Plotho says, he says, if the fourth quarter is weak, usually the first quarter is also not so strong. I think the specific issue on ASP which will drop will give pressure on the fourth quarter; I think will slightly more disappear in the first quarter. And then he said there will be growth in 300 millimeter, so we’ll see how capacity and pricing will develop. So, that’s what we can say. And for more detail, I think you have to ask the Siltronic investor relations department.
Joerg Hoffmann: Operator the next question is from Mr. Thomas Swoboda from Societe Generale.
Thomas Swoboda: I have three questions, two are on polymers. And congratulations on the good results. However, I am trying to find out the earnings dynamics supporting this very, very strong margin this quarter. So, we obviously understand that you have currency tailwinds, but it sounds like you have some tailwinds from lower input costs. My question on this is, whether you see some price pressure going forward, meaning that your customers just want to benefit from the lower input costs going forward. And secondly, you were also saying that the margin development is being supported by the increased proportion of powders. I think powders have much better profitability versus dispersions, but now you have this new dispersion facility in Calvert City. So, the mix should change again. So, I’m just wondering, how do you feel about margins going into 2016? So, that was just the first question. Sorry for that. The second question on polymers is again about how do you think about 2016 and 2017. Your competitor Celanese also announced a plant; this is in Singapore, in dispersions. Is the market strong enough to absorb all this capacity coming to the market? Your capacity addition is already some 20% of global. Would be happy to hear your thoughts on that. And a quick one on polysilicon. You have a significant volume improvement in Q3, versus Q2. I’m just wondering what the driver for this is? Is it the first positive effect from the closing of the -- or from the reduction of the U.S. imports to China?
Dr. Tobias Ohler: I would like to start with your two questions on polymers. I mean, you’re absolutely right. Earnings dynamics are very positive, and you numbered quite some factors that are really supportive. Definitely currency, especially the year-over-year comparisons which helps us and it is also lower raw materials, but it’s -- on the other side, it’s also the volume development that we have. I think when you look at raw materials and pricing, and that was your question, I mean we typically have -- we have some contracts that have a direct link raw material input to our set prices. But on others, I mean we have situations where we have higher raw material prices and we have lower raw material prices. And I think the situation in Q3 has been very good in the sense that we had a strong volume performance, especially on the powder side but also some short-term effects on the raw materials that go into the business, especially on ethylene and on VAM. Ethylene was quite low at the beginning of the year than it was high in the second quarter as some of the crackers went out of business. And then it came down again also with the naphtha and oil pricing in Q3. VAM was also lower in the third quarter and that helped also. I think there will always be a balance between our re-dispersible powder volume growth, and the disperse growth, so I wouldn’t fundamentally see there a mixed trend. With respect to your question is that into 2016 and 2017, I think it’s too early. I think long-term, as we said, in the mid-term target, this business is a good business with a target margin of 16%, and in some years will be better and others will be under pressure. With respect to the moves of our competition and our own capacity that is going on-stream in the U.S., I think the market is there to take the volume, but you need to take into account that dispersions are -- I mean there is a lot of water in there and it’s very local. So, you have basically our U.S. plan for the U.S. market, and some other plans coming on-stream in Asia for the Asian market. But also bear in mind that we have capacities in Asia, both in China and Korea.
Dr. Joachim Rauhut: Yes, I would like to answer the question with respect to poly, Thomas. We had very good and high shipments the quarter on polysilicon. And if I look to the customer structure and to the development month-by-month, I have to say, you’ll have the strongest month was July, when this effect of change trade conditions really, if you look to the import statistics, didn’t -- was not was not that substantially. So, I will not cause this success to the effects and the discussion and to recommendations on this trade to China. It’s more that we are able to attract customers with our quality material in China.
Joerg Hoffmann: Operator, the next question is from Oliver Schwarz with Warburg Research.
Oliver Schwarz: I wanted to continue just from Swoboda’s question regarding polymers. Just to clarify, you received headwind from raw materials in Q3, I get that. And you have some contracts with prices tied to raw materials prices; other contracts are fixed on another basis. Could you indicate about -- on the length of those contracts running, are they negotiated on an annual basis, or on a let’s say, half year basis? So, how soon, for those contracts to rather reflect the lower income -- the lower costs from raw materials? Could you put a time frame on that until your customers are likely to come back to you and demand a discount on pricing?
Dr. Tobias Ohler: First, a clarification, we had tailwind in Q3, not headwind.
Oliver Schwarz: Oh, sorry. Yes, I meant that. Sorry.
Dr. Tobias Ohler: And I think, if you look at the overall portfolio of polymers, I guess less -- clearly less than half of our customer relationships are based on forming a base contract. And also not so much -- I mean, it’s long term relationships, but it’s not always long-term, like three years contract. You also need to consider that with the raw material movement, in those contracts, we have a time lag, let’s say, about two to three months. I think yes, it is always a balance. In some situations, you get asked to pass on some of these savings; in other situations you will try to pass on the burden as you have experienced it last year, to the customers. So, I think it’s a fair balance overall. And that’s why we see, in some situations, like in Q3, we have tailwind. But I think we target on -- given our strong market position in both re-dispersible powders business and in the dispersions business, we really target on long-term relationships and to build on expanding the markets, and on volume growth.
Joerg Hoffmann: Operator, the next question is from Mr. Martin Jungfleisch, Kepler Cheuvreux.
Martin Jungfleisch: I have two questions, both pertaining to polysilicon. First one is the management targets for 2017 are sales of €6 billion to €6.5 billion, and EBITDA margin of 20%. Given the current polysilicon price levels, will this goal still be attainable? And to what extent can we lower cash production costs realized from Tennessee facility offset the current weakness in polysilicon prices? And the second question is regarding WACKER’s price premium for polysilicon. Where do you see it going in the future, and do you think it will decrease over time?
Dr. Tobias Ohler: I would like to take the question on the mid-term targets. I think we will go through that process next year. We will have our next capital markets day, and we will give an update on that.
Dr. Joachim Rauhut: With respect to quality, I really like the performance in the third quarter, and with respect to the demand and to customers. But I would not draw the conclusion that there is an increase in our quality premium. It helps us to spread and to distribute our material, in a market where some customers, you read this also in reports [ph] are financially very weak.
Dr. Tobias Ohler: And with respect to the mid-term targets, maybe in addition, I think we are well on track. I think 2015 is with our guidance on a very quick trajectory.
Joerg Hoffmann: Operator, we have another question from -- another wording from Mr. Alexander Karnick.
Alexander Karnick: Thanks for taking another round of question, Mr. Rauhut. You mentioned initially the explanation or one of the explanations for the very strong performance in the chemicals is you continue to strive for new product and innovation there. Could you elaborate a bit more on this, and how do you see that trending, or what are sort of the growth trends on the volume base? We will leave out FX and stuff like that and pricing, for a second, for 2016? And before you do that, I just wanted to say thank you for the good communication and the very good job that you have done at WACKER, all the best on your future.
Dr. Joachim Rauhut: Thank you very much. So, it’s not that easy to answer, because in the silicones business, we have got several different opportunities that are difficult to add them and to combine them. But overall, I think we achieved, the volume growth in the silicon business is currently 4%, 5%, and particularly if I look to the last quarter and I would say 1% of this comes from the new products, and the other is strong market positions and developing -- going more into applications according to customer need. So I would not call this as a new product. With respect to the polymers business, we have got really very strong volume growth in powders, nearly double-digit. And there, I would not -- we have also new products, but I think the strong rate now -- adapting the product to the local needs, I don’t think that we have got there the complete strong new product revenue, except that Tobias you can say an additional example to that, because you were in-charge for the polymers division.
Dr. Tobias Ohler: I think if you map new product revenue with new product, and new applications/markets, I think overall, the share of new products is some 20% of overall sales. If you account for that, it’s a product that is not older than five years. That’s the metric that we typically use. And WACKER is in both silicones and polymers, highly innovative. And our focus is clearly on specialties and specialties is always our choice. We want to grow the specialties segment. But at the same time, we are also in the standards business by necessity, because we need to have a good cost position, and that is also very helpful in order to really get a balance in the strong [Technical Difficulty]. Does that help?
Martin Jungfleisch: Partly, I would say.
Joerg Hoffmann: Operator, let’s move on to the next question. Mr. Paul Walsh from Morgan Stanley please.
Jean-Francois Meymandi: Hello, it’s actually Jean-Francois Meymandi from Paul’s Walsh line. So first, I wanted to work the math on polysilicon for the ramp-up costs. Would it be, let’s say, okay to say you had 30 million -- 25 million, 30 million, in Q3 ramping up to 35-ish million in Q4, and when you say 2016 will be below H2 levels, can you confirm that it will be below full year 2015 levels as well, the ramp-up costs? That’s the first one. The second one, can you increase volumes delivery in polysilicon in Q4 versus Q3? And in the current environment, do you think you can increase volume in ‘16 versus ‘15 as well? And the third one will be in silicones. You mentioned a good product mix in Q3, electronics, personal care. Do you get the same in your order books going forward, I reckon your order book is fairly short-term, but can we extrapolate that going forward or do we get the normal mixed bag going forward? And on the tax rate, when can we expect that to be visible, your successful renegotiation of tax with Germany, I would guess? And that leads me with finishing, to wish, Dr. Rauhut a good continuation, most likely in Switzerland.
Dr. Joachim Rauhut: So, Tobias, I think you should answer and follow up on the question on the ramp-up cost of Tennessee.
Dr. Tobias Ohler: I don’t want to give really details out on specific quarters. But I mean, it approximately that magnitude that we have some 15 million more in Q4 than in Q3, I would say.
Jean-Francois Meymandi: 15, one five?
Dr. Tobias Ohler: One, five.
Jean-Francois Meymandi: Good.
Dr. Tobias Ohler: For ‘16, I mean for sure overall costs should be below 15 million. We are talking about a temporary effect that we are ramping -- going from a project into the ramp phase that we are starting up with personnel; we are starting up with energy. So this is definitely something for the first half. So it’s definitely below -- total number in ‘16 should be definitely below the total number in ‘15.
Jean-Francois Meymandi: And that will come down let’s say, so Q1 will be below Q4, Q2 will be below Q -- that’s going to be -- we won’t have…
Dr. Tobias Ohler: No, no, no.
Jean-Francois Meymandi: A step down immediately?
Dr. Tobias Ohler: I think as Joachim said, I mean we will focus on quality, not on speed. And as I said, we will look into that in more detail when we have the time. I think for silicones, I would like to ask you to come back again. I didn’t…
Dr. Joachim Rauhut: I’m sorry. On silicones, your question was, do we expect…
Jean-Francois Meymandi: Mix.
Dr. Joachim Rauhut: A different mix. Structurally, not. I think structurally, we should have this positive mix in the first quarter. It can happen in the fourth quarter because of -- you’re moving the Siloxane that you produce into the market that this leads to more standard business in our sales. But structurally, I think you -- one should stay on the level which we achieved in the third quarter.
Jean-Francois Meymandi: And just on polysilicon, on volumes. Let’s say, assuming that Tennessee only ramps in Q3, can you deliver more volume next year and also sequential Q4 versus Q3, how are your expectations?
Dr. Joachim Rauhut: You mean Q4 versus Q3 in this year?
Jean-Francois Meymandi: In poly on volumes.
Dr. Tobias Ohler: We are running at capacity at our German site.
Jean-Francois Meymandi: And you didn’t build inventories?
Dr. Tobias Ohler: No, no, no.
Dr. Joachim Rauhut: No. And the contribution from Tennessee is insignificant.
Jean-Francois Meymandi: So next year except, you should do some debottlenecking, you should be flat on volumes?
Dr. Joachim Rauhut: No, we in our German operations, we do continuously also do debottlenecking. And including Tennessee, we said in 2017, we’ll have a capacity of 80,000 tons. And 20,000 tons comes from Tennessee. So, it means that we move our German facilities up to 60,000 tons. And this is a continuous increase in capacity.
Jean-Francois Meymandi: Okay.
Dr. Joachim Rauhut: And it means if we run -- what we did so far, and plan to do again, if we run full capacity in Germany, we will have got more products sold. This now excludes the effect of more products from Tennessee.
Jean-Francois Meymandi: Okay. Thank you.
Dr. Joachim Rauhut: Tax rate; now, tax rate. I think in previous talks I -- in previous discussions I said, we will look to a tax structure which goes more to our structured tax rate in Germany, 30 and if you add then the U.S., which has got a higher tax rate of 40, let’s say to 35 in the middle. Once we produce in Tennessee and we are -- and this requires some contractual arrangements which we are pursuing and there we are in discussion with the tax authorities in Germany and in the U.S. So, if we are successful on this, that’s what we plan that -- it means that the tax rate falls below, or moves closer to 30%.
Jean-Francois Meymandi: Let’s put it this way to give us an idea, what’s your tax loss carry-forward and where do you have it? I suspect it’s in the U.S. So, how much of tax loss carry-forward do you have to?
Dr. Joachim Rauhut: Sorry, what…?
Jean-Francois Meymandi: The tax loss carry-forward, how much do you have?
Dr. Joachim Rauhut: I don’t -- I think the tax loss carried forward is important, but it’s not that important in the structure because the tax loss carried forward will be utilized over years. The effect comes from the immediate reduction in tax ongoing with the start of the productivity -- the production in Tennessee.
Jean-Francois Meymandi: But I guess that would make you not pay tax in the U.S. for quite a long while, given the losses you had there for some time.
Dr. Joachim Rauhut: Yes, it benefits but there are also limits with respect to it. You know, it’s a very complex subject. The message is, we will not have a tax rate of 50% in the future.
Joerg Hoffmann: Operator, the next question is from Thomas Swoboda again.
Thomas Swoboda: And the question is on CapEx. You have said in silicon sir that you’re running four, so I would be assuming that at some point of time, relatively soon, you will be deciding on a capacity in Tennessee to silica I think would be the most natural solution. And also in polymers, given your comments that in dispersions, the competition is rather regional than global, it sounds like you might be needing more capacities going forward. I reckon that this capacity growth wouldn’t be as expensive as in polysilicon, especially not as expensive as the [indiscernible] in Tennessee. But the question is now, how should we think about CapEx going forward? I think we have been thinking so far about roughly 400 million to 450 million from 2016 for a couple of years. I’m just wondering if this is still reasonable, how low can you keep CapEx going forward?
Dr. Joachim Rauhut: Your questions with respect to these investments, these investments are potential additions in industries are on the agenda. But nevertheless and now I look to what we’re current planning and we are still in the planning process of 2016. Nevertheless, we think that we can stay with the investments in the range you mentioned. And this is a strategic target. So we confirm.
Thomas Swoboda: That sounds very good indeed. I just want to follow up. What is the time range you could you are willing to confirm that run rate?
Dr. Joachim Rauhut: We do a new plan. I think we’ve already said that we will have this level for some time. But I think that question then should be answered at the next Capital Markets Day in next year. But we are strategically and in the thanking of the board, we are on the track.
Thomas Swoboda: This, this is very helpful indeed and all the best to your future, Dr. Rauhut. It was fun, thank you.
Dr. Joachim Rauhut: Thank you.
Joerg Hoffmann: Operator, the next question is for Mr. Oliver Schwartz at Warburg.
Oliver Schwartz: Just a very quick follow on, on the topic you just discussed. Could you give us an indication following the completion of the Tennessee plant, what would be the level of your maintenance CapEx going forward starting, let’s say 2016?
Dr. Joachim Rauhut: Do you want to know this with respect to polysilicon or to the Group?
Oliver Schwartz: No, to the group.
Dr. Joachim Rauhut: There are so many different calculations, what is maintenance -- first of all, I have to tell you that we do not capitalize very much maintenance. There are other companies who have got higher budgets for maintenance because they capitalize everything and we have got significant maintenance expenses. But if I take now -- but some need to be refurbished, then I think we are -- we have communicated so far a figure out 150 million to 200 million.
Oliver Schwartz: For the Group?
Dr. Joachim Rauhut: For the Group?
Oliver Schwartz: Following completion of Tennessee?
Dr. Joachim Rauhut: Following completion of Tennessee.
Oliver Schwartz: Okay.
Dr. Joachim Rauhut: Tennessee is not -- in Tennessee, we shouldn’t have very much maintenance in the beginning.
Oliver Schwartz: Sure, sure. Hopefully.
Joerg Hoffmann: Operator, we’ve reached the time line for this call. Thank you very much everybody for your interest in Wacker Chemie. We will have our next conference call at the full year results 2015, which will be on March 16th next year. If you have additional questions, please don’t hesitate to contact Wacker Chemie Investor Relations. Thank you very much for your interest.